Horst Pudwill: Good morning, ladies and gentlemen. It gives me great pleasure to welcome all of you to TTI's Group of Company's 2023 Full Year Announcement. This is the first time in person, a result announcement since August 2019, and all of you have not aged a bit. I'm extremely excited to be here and share 2023 full year results with you. Our Group Vice Chairman, Mr. Stephan Pudwill, will continue our opening remarks, and I will give some more comments later towards the end of this presentation. Thank you, Stephan, please.
Stephan Pudwill: Thank you, Chairman. We've had a remarkable few years, with revenue almost doubling since 2018. We've made significant investments in product development, bolstering our supply chain, optimizing our manufacturing facilities, further strengthening our leadership position at TTI. With revenue up 10.2% in the second half, world-class working capital management and exceptional $1.3 billion in free cash flow, the team is extremely excited with the outstanding job that we've done. So in addition to having Joe Galli with us today, and it's always a pleasure having Joe in Hong Kong, I'm extremely excited to introduce to you the senior executive team we have from MILWAUKEE. Today, we have Mr. Steven Richman, Steven, stand up. So Steven is our Senior Group President of MILWAUKEE. We have Shane Moll, Shane is Group President of MILWAUKEE Power Tools, and we have Tim Albrecht, Group President of Hand Tools, Storage, Personal Protective Equipment and Channel Marketing. The MILWAUKEE team has done an exceptional job this past decade, and it is an absolute honor to have the team here today to present for the very first time in person at the TTI annual results announcement. Joe and his team have done an exceptional job, and it is also an honor to pass the floor over to our Group CEO, Joe Galli; and our Group CFO, Mr. Frank Chan. I hope you like this presentation and the extremely strong results that we delivered in 2023 in what our competitors would certainly call a challenging year. Thank you very much.
Frank Chan: Thank you, Mr. Chairman and Stephan. Yes. As Stephan said, we've made great improvements in the second half 2023 versus 2022, and delivered a full year revenue of USD 13.7 billion, an increase of 3.6% or 3.9% in local currencies as compared to a sales decline of 2.2% first half last year of 2023. MILWAUKEE, Consumer and Floorcare all delivered growth in the second half year, with MILWAUKEE in particular, grew by 12.7% and delivered a full year sales growth of 10.7% in local currencies. Gross profits increased by 4% to USD 5.4 billion, with margin improved for the 15th consecutive year by 14 basis points to 39.5%. The improvement is mainly from favorable sales mix of margin-accretive MILWAUKEE business, battery aftermarket sales, new innovative products and highly focused manufacturing cost controls. EBIT for the full year was at $1.1 billion, down 5.5% as compared to 2022. The reduction mainly due to the contraction of the consumer business and the onetime additional promotional activities and causes to drive finished goods inventory reduction. As a result of EBIT being $66 million lower and higher finance costs in 2023 due to the interest rate increase since March 2022, despite we've been able to maintain our effective tax rates comparable to that of last year, our net profit declined by 9.4% to $976 million. Earnings per share declined by 9.3% to USD 0.5336 per share. The Board recommended a final dividend of HKD 0.98 per share, an 8.9% increase as compared to HKD 0.90 per share in 2022. Together with the HKD 0.95 interim dividend paid subject to shareholders' approval to the recommended final dividend, total dividend for the year will be HKD 1.93 per share, an increase of 4.3% over 2022, representing a payout ratio of 46.7% as compared to 40.6% in 2022. SG&A as a percentage to sales was at 31.3%, an increase of 96 basis points. Selling, advertising and marketing expenses increased by 56 basis points, mainly due to the onetime spend on promotion activities to drive inventory reduction. R&D spend also increased by 34 basis points for new products and innovation. Administrative expenses were flat as a percentage to sales, as we rigorously control this part of the spend. As highlighted earlier, net finance costs increased from $44 million in 2022 to $79.1 million in 2023, due to the significant increase in interest rates over the past 18 months. As we will apply free cash flows generated from operations to pay down higher cost debts, we project that net finance cost as a percentage to sales will improve in 2024. Effective tax rate was at 7.5% as compared to 7% in 2022. Pillar 2 had minimal tax impact on us, as a very good endorsement to our very effective tax structure and plans. We will continue to be very proactive with our tax plans and confident that despite this ever-changing and challenging global tax environment, our current level of tax rate is very sustainable. Our balance sheet remains very healthy and strong, with shareholders' equity increased by $543 million or 10.4% to USD 5.7 billion. The 16.6% decrease in current assets have been offset by the corresponding 23.1% decrease in current liabilities, as we reduced our inventory and more effective and efficient use of surplus cash to pay down high cost short-term borrowings. Total working capital as a percentage of sales was at 17.7% as compared to 21.2% in 2022. We've been very focused on managing our inventory and being able to reduce our total inventory by $987 million or 31 days when compared to -- in 2022. Finished goods reduced by $949 million or 29 days to 84 days. Raw material inventory also reduced by $43 million or 2 days to 22 days. Total inventory turnover days was at 109 days in 2023, and we are confident that we can further improve the inventory turns in 2024. Trade receivable days was at 45 days and payables at 90 days. The day is mainly related to the timing of sales and procurement. Our receivables are of very high quality, and we will continue to leverage our volume and financial strength for the best trade terms with our suppliers. CapEx for the year was at $502 million, 13.7% less than that of 2022. With most of the infrastructure CapEx being completed, we project CapEx for 2024 will be much lower than 2023, and the spend will be on new products, productivity, quality and sustainability initiatives. Our key objective last year was to increase our free cash flows and improve our gearing. In 2023, as Stephan said, we've been able to generate close to $1.3 billion free cash flows and improved our gearing from 32.1% in 2022 to 17.1% in 2023. We will continue to effectively manage our working capital, execute diligent control in CapEx spend to further improve our gearing in 2024. As discussed, our primary objective is to reduce high cost -- higher rate borrowings. In 2023, we've been able to reduce our total debts by USD 1.2 billion or 37.6%, from $33.1 billion to $1.9 billion. Total net debts reduced by $689 million or 41.3%. Floating rate debt now account for 40% of the total debt, and they are higher cost short-term borrowings. Fixed rate debts representing 60% of the total debts with much lower borrowing costs and longer tenor. We will continue to effectively manage our debt portfolio with the most optimal structure to support our long-term growth. With that, I would like to pass the floor to our CEO, Mr. Joe Galli.
Joe Galli: Thank you, Frank. So take a hard look at the first half, second half. We grew 10.2% in the second half. MILWAUKEE, led by these 3 gentlemen, grew 13% in the second half. And our consumer businesses grew 4%. That's in an environment where everybody else was down. In fact, you take our 2 largest competitors, they were down over 6% in the same period of time. Now they attributed that to interest rates, economy, global geopolitical affairs. And we don't make those excuses. We have told you consistently, our vision and our commitment is to outperform the market, and we're doing so significantly. And that's going to increase as we go forward. By the way, this year, 2024, of course, I'm pleased to tell you we're off to a terrific start. We expect momentum to continue, and I think you'll be delighted by the end of this year with our ability to outperform whatever the market bears, we will outperform it. Now Stephan pointed out appropriately that what we've done in this company is extraordinary. We have taken the sales level of $7.7 billion as recently as '19. And we've -- last year, we turned in $13.7 billion. So all the virus catalyze growth -- the virus catalyze all kind of growth. Although I don't think it's fair when people say, "Oh, you guys grew because of the virus." Well, the competitors didn't grow. And if you look at our competition, they actually are shrinking now, and they're saying they're going to normalize back to '19. Can you imagine if I told Horst this, he would strangle me. So we don't go backwards, we go forward. Yes, we only grew to 3.6% last year. But as we go forward, we're going to grow strong. We're going to grow mid-single-digit minimum, MILWAUKEE will grow double-digit minimum. We always have internal plan stuff on to try to exceed that. And that's sort of exactly what we plan to do. Now last year's P&L is -- it's important to take a look -- first of all, let's look at SG&A. Our SG&A was up last year for all the right reasons. As Frank pointed out, we invested in promotion funds to clear the shelves at retail, which sets us up beautifully for this year and next year. Secondly, we invested aggressively in geographic expansion, Latin America, Asia, Central Europe. And there's still -- in the U.S., we made major investments. For example, in Home Depot, we added 300 heavy-duty centers. These are 10-meter displays in 300 Home Depots, with a TTI full-time MILWAUKEE rep. So -- and we made other product development investments you'll hear about in a moment. So our SG&A was up, but that's not because we're not disciplined. On the contrary, we're incredibly rigorous about it. We're just -- we just believe the next 10 years holds so much massive opportunity for the company that we made the investments now. Now let's turn to our gross margin. Let's remember, we cut almost $1 billion of inventory last year. While the gross margin went up, by the way, that's the 15th consecutive year our gross margin increased over the last year. And remember, the backdrop. So last year, gross margin was 39.5%. Our 2 largest competitors are talking about gross margins in the mid-20s. Are you kidding me? So we cut inventory, which means worse, we had to cut production, which means we had to cut -- we had to sell off excess obsolete. And we did so beautifully, and our gross margins still went up. And as we go forward, Stephan and I feel strongly we can increase gross margin minimum 20 bps a year the next 5 years. And it's not any magic. It's because we control the cordless market. Battery sales, the aftermarket battery sales are wildly accretive in terms of gross margin. And it's because the MILWAUKEE flagship business we have, has a much higher gross margin than the company average. And MILWAUKEE will outgrow the rest of the company, although we love the rest of the company, too. So you can count on our gross margin, being a real source of not only accelerated earnings, but also stuff when it self-funds the investment in SG&A. The reason we can invest in R&D and geographic expansion is because we've created this gross margin machine in the company, and that's not going to stop. Now our cash flow last year, Stephan pointed out, USD 1.3 billion. That's an all-time record. We have shared before, we are building a cash machine in this company. And actually, this year, usually, when you see this kind of surge in cash flow, the next year, there's a bunch of excuses. For 2024, we will -- a minimum -- we will generate a minimum of free cash flow of $1 billion, and we're off to a terrific start toward that goal. So you can expect our ability to have a strong balance sheet and all the wonderful additional benefits that delivers, that's in our future. We feel great about this. As we look at '24, we don't give guidance, but let me just tell you what we -- our outlook for this year, as I said, we will grow our revenue mid-single digit. MILWAUKEE will be double digit. And that's really -- we feel like we can do both of those things in the next 5 years, not just this year. Our gross margin will go up at a faster rate than SG&A. Our EBIT will grow at a faster rate than sales. Our inventory will improve over last year. In fact, Stephan and I have a plan to take inventory days down the next 3 years consecutively without harming any of our ability to serve our customers. And as I said, our cash flow will be a minimum $1 billion. And by the way, I can tell you with great certainty, we will significantly outperform the market throughout 2024. And it looks like the next 5 years, I don't think you can stop us. I think it's game over. So this is an interesting story I'd like to tell. 17 years ago, Horst Pudwill and I sat down and developed the strategy for TTI. And we agreed on 2 things. We said we're going to have the very best people in the history of power tools. And we are going to dominate cordless. We're going to be obsessively focused with cordless. We will no longer waste money, spend money on corded tools or petrol or hydraulic or pneumatic. And we said, our cordless won't just be a battery, like NICAD or nickel-metal hydride. We will have advanced technology here. Now when I went out and started communicating this to an investment community, the people laughed at us. They said, "Wait a minute, cordless? It's only 40% of the market. Your competitors are still -- they're developing or buying gas -- petrol companies. They still have a lot of corded. There's all kind of hydraulic, pneumatic products. And we got hammered for this because people said you only look at 40% of the market. And we always said, "Well, that's just like telling Steve Jobs when he launched iPhone, Wait a minute, why don't you doing payphones and fax machines." That's -- but nobody really listened to us -- and then Horst, I think we're getting people's attention now. In fact, if you look around this room -- take a look around this room. Every single power tool, lawnmower, vacuum cleaner in this room is cordless. There's not a single World War II vintage powered product like gas or AC or hydraulic or pneumatic. And there is no comfort in the world. It's anywhere near what you see in this room in terms of cordless commitment. And why is this massively important to you in the investment community? There's so many benefits in this, I would -- it will take me 2 hours. So I'll try to summarize. We have the broadest line of MILWAUKEE, broadest line of procleaners with MILWAUKEE, broadest line of RYOBI with cordless. We have the -- we have the first -- we have the broadest line of detachable flow battery floor care cordless. Actually, this is the first ever cordless carpet washer. So to wash this thing that you walk on in this room, first -- for the first time, you can have a battery powered unit. The market share leaders in carpet washing are 2 to 3 years behind on this cordless technology. And why does this matters so much? Because, look, the aftermarket for batteries is a massive high-margin accretive revenue stream. In 2016, we did about $200 million in batteries aftermarket. In the next 5 years, we will exceed $2 billion. And the way it looks right now, especially the year is starting pretty good, I think we'll get there. I think we'll get to $2 billion in battery sales only, within the next 5 years or sooner. And remember, batteries are wildly accretive. Batteries gross margin is accretive even versus MILWAUKEE. So secondly, one thing I missed when we put all the strategy together is that when you sell a power tool with batteries and chargers, you can then convince a user to buy a tool, what we call bare tool. So what that means is instead of paying USD 380 for this product with a battery and charger, you could pay $179 because you already have the battery and charger. So we're selling bare tools, which are also accretive for us and our customers. Like crazy, way, way beyond what we thought 17 years ago, and that's only going to continue. Also, the people say, "aren't you guys tapped out of MILWAUKEE, how are you going to grow?" And there's something called ASP. So if you look at the best-selling drill at Home Depot, Pro drill, that's corded, retail $69. You take the same equivalent product, this lovely device, same product, it's cordless, $200 change, $299. So it's the same number of drills, but we just -- we couldn't top in the size of the market. That's why when people say, "Oh my God, what's your market share?" You know, what I say, who cares? Yes, we'll take market share. But doesn't matter because we're expedient and working with ASP. And you'll see more examples of that in a moment. And then let's not forget, the world -- all of our competitors have helped us. We should thank them because our competitors the last 17 years, continue to sell or buy petrol companies or [indiscernible] companies, et cetera, pneumatic companies, which means all these users that made the mistake, the dreadful mistake of buying a noncordless product, they're all conversion targets. And this is so massive, you can't believe it. And we're actually getting help from many countries, municipalities, et cetera. For example, this year, the Governor of Colorado instituted a 30% rebate. So if you go in Home Depot in Colorado and buy a battery-powered MILWAUKEE mower, you get 30% back from the government. So guess, why at Home Depot -- we put this program we got with Home Depot, their sales are skyrocketing in the state of Colorado. And one thing I learned about governors is they like to sort of keep up with each other. So I think you're going to see a lot of this as we go forward. So look, our commanding unassailable leadership position in cordless is not to be underestimated. And when you ask me about the interest rates, who's going to win the election, geopolitical arena? I mean, these things -- first of all, I can't predict any of this. Secondly, does it really matter, because there is so much untapped potential for us, as you'll see with MILWAUKEE today and with the rest of the company. There is so much more potential. I think we can deliver the next 5 years, exceptional financial results. So the great news is that our strategy is 100% aligned with our largest customer. Now Frank, we do what, 44% of the company is Home Depot. Billy Bastek is the brilliant merchant who now runs on Home Depot merchandising, reporting to Ted Decker, one of the best CEOs in the U.S. And Billy stood up in June last year at the Home Depot Investor Conference, many of you might have been there in New York. And he said, we are focused on cordless. We are not going to focus on petrol, pneumatic, corded, et cetera, some cordless, which is the same thing we're saying. And so we are aligned 100%. Now, Stephan, you and I faced 1 question after another last 2 years. But post virus, people said, "Guys, are you focused on -- are you riding the right horse? You're really sure, Home Depot's right versus Lowe's? And I don't know if you announced -- if you saw their announcement, Home Depot's, but Home Depot just crushed Lowe's. Their last announcement, Home Depot is -- they're so much better managed and stuff like we -- I am proud that we had the clairvoyance, the vision, the wisdom to team up with the sure bet. So you look at the next 3 years, and you're going to see Home Depot trample competitors in their space in the U.S., in Canada and Mexico. And this is very exciting. So anyhow, let's turn towards MILWAUKEE. We grew 11% last year. That's double digit. As we said, next 5 years, we'll grow double digit. We have a unbelievable -- this is an unimaginably good track record. I'm going to walk you. Tell me how many companies put up this chart for you. So we're up compound in your growth rate, 22%, and that's since 2010, are you kidding me? This is not easy to do, right? Now we're not committing to 20% in the next 20 years or 10 years, but we're certainly committing to double digit, and we're off to a great start to achieve that. Now, North America, which is run by these gentlemen, has done an exemplary job year after year. And that's why we have our biggest position in North America. But of course, the big base means our growth will be a little lower in North America than in the other parts of the world. But Europe was up 14% last year. And actually, I got an update this morning from our Group President of Europe. So in Bucharest in Romania, we just cracked the major distributor in that market. They put in 53 meters of MILWAUKEE, 53 meters. Our largest competitor did not fare well in this conversion. So we have lots of potential in Europe. Rest of the world, whether it's Latin America or Asia, there's -- Middle East, Africa and the rest of the world has also got lots of potential for us. So anyhow, one of the things that Horst and I agreed on 17 years ago is we need to win in cordless and we need to hire the best people. And it's a pleasure to put that out on display today because Steven Richman, Shane Moll and Tim Albrecht, these are superstars in our company. They all grew up at Black & Decker, believe it or not. And we were fortunate enough to poach them early on before they were rich and famous, now. They will demonstrate to you why we are so far ahead of our competitors in terms of talent. And with that, Steve, I'd like to turn it over to you.
Steve Richman: Thanks, Joe. Okay. Welcome to the MILWAUKEE portion of the session today. So let me start with, as Joe stated, the unbelievable growth year after year of MILWAUKEE, incredible results, top line growth. Now why? The foundation of that growth was clearly what we call the 2 bookends of success. One, as Joe said, people. Recruit, retain, invest in the best people anywhere in any industry. Not the tool industry, but any industry. Number two is culture. How do you create a culture? Well, we've created a culture where it starts with an end user focus. That focus on the user with a solution orientation. The second piece of that is candidness. How do we get people to talk about opportunities, about deficiencies and leverage the team to be able to do that every single day. The next piece is extreme ownership. Everything we do with our users, our distribution partners, our teams owner, our salespeople, our commercial teams, our operations teams throughout the company. And we do that with a disruptive mindset. How do we change the game? This is not about doing what we did 5 years ago or 10 years ago. What we are doing today because of our culture will change over the next 5 years and the next 10 years. And how do we pull it together? With speed and agility and a sense of urgency. We are not a bureaucratic business, none of the TTI companies are, and that allows us to win in a way that nobody else can, move with speed like no one else can. And we finished that with one perspective. It is not about the individual. It is about one total team, the best people in one total team. So we have people, we have culture, our perspective is real clear. What you're going to hear from Shane and Tim today is that is the foundation. That foundation will continue to provide us the opportunity to grow year after year. And what you'll see is we are just getting started. Now let me tie this to our mandate. Our mandate overall is right here. The talk that Tim and Shane and myself today, it's going to start with a user's brand of choice. Why is that important? The user that we'll discuss, when they buy that product and they believe it's all about productivity and safety, that will turn them to buy more and more products every single day. How does that tie to our distribution partners, the Home Depots, the Graingers, the Fastenals, and all of those companies on a national basis? The brand distribution counts on. Why is that important? It drives their top line sales. It drives their bottom line profitability. And the more they partner with us, the more they understand that it will deliver results. How do we do it? Disrupt the industry. Our viewpoint is clear. It's not about what our competition does. They tend to do me too. They're going to add a feature to a product. They're going to take the current product and despec it, take quality out and performance out to hit a price point. We're going to leverage breakthrough technology, products and services. We're going to do all of that to disrupt the end user and the industry. A core part of this disruption is how do we think about that end user. And for us, disruption is dealing with that end user in a very different way where we become a true partner, where they view us as they can't do their work without us every single day. What does that deliver? Dominate the competition. We end up dominating the competition because of that disruption, and it allows us to look at markets and say, how can we expand the market every single day. Let me go back to the user. The foundation, yes, is people and culture. But everybody in the company, not Shane and Tim and myself, not Joe, not Horst and Stephan and Frank, but everybody in the company understands that everything we do is based on that end user. And if we deliver productivity and safety to them, they will buy our product and convert from other brands every single day. How do we do it? Our teams out in the field, understanding what they do from the time they wake up in the morning to the time they go to bed at night, understanding their pain points, understanding the fact that there's not a lot of workers out there. All the companies that employ the workers are saying, "How do I get enough workers to work on the mega job sites, on the data centers, on all the different aspects of the business?" How do we do that? By understanding those pain points, we help them become more productive every single day. And that is core to why we continue to grow and flourish. Now the how, everybody, every competitor in every aspect of our business has a sales force. We happen to have the best sales organization, the best commercial organization of anybody in our space and outside of our space throughout the globe. But our point of difference is different. It's called job site solutions. We are the only company that has a dedicated committed team that understands the pain points of our users every single day, understands that they have to drive productivity and safety on the job, understands that if you don't create a partnership with them, you can't win, understands that, that great innovation that Tim and Shane are going to take you through, that we're going to take that innovation and show them how it will help them do their job better and safer every single day. That's our JSS team. We earn the right, and we say this a lot. We earn the right to partner with these users. It's not given. We have to earn it by doing extraordinary things every single day. Now let's talk about the core trades. There's 12 core trades here that we're going to talk about. These trades are massive, $100 billion of opportunity to satisfy what they do every day on a global basis, $100 billion. And I will tell you, there are subtrades under each, and we have not even taken advantage of every one of those subtrades. We clearly have not added additional opportunities with other trades yet. And when we are ready, we will add those, significant opportunity. Now it's not about one product to service these trades. Think about it. If it's one product, anybody can replicate it. But if you take our approach, our strategy, which is not about a product, but it's about the plethora of solutions we can offer that trade, to help them drive productivity and safety on the job and go real deep with that user. What's the impact of that? It means that user cannot go to another brand. They convert to MILWAUKEE and they stay to MILWAUKEE, in tools, in lighting, in safety, in accessories, in every aspect of the business across the board. Now let me give you a couple of examples of how impactful this is. Mechanical and electrical trades. These workers are paid a lot of money to do their work every day, and the companies that own them are paid a lot of money to get their jobs done. You're probably asking, what kind of job do they work on? Any kind of building, but where are they focused today, guess what? Data centers. A lot of people talk about data centers, mechanical and electrical end users. They live on the growth of data centers today. There are over 500 data centers being built in the U.S. right now. Massive opportunity for our tools, and Shane and Tim are going to show you solutions that deliver on helping them make that more productive in doing that. Now that sounds great, but the opportunity is even bigger now. Everyone talks about AI and how big AI is. The thing people do not understand is that, that data center was not designed for AI, which means you need more cooling, more space, more expansion to be able to do that, which means every one of the current data centers throughout the world need to be refurbished. When they're refurbished those mechanical, electrical end users have a bigger opportunity to do more work. And guess what? We win, we sell more tools, more accessories, more hand tools, more safety products every single time. Now I can spend the next 3 hours talking about another 2 trades, I can spend another day talking about the next 12. The only one I'm going to mention now is one that Joe talked about, outdoor power. This is a very, very different trade, that landscaping and tree professional, they're all converting from old, old technology, gas. And they're all moving from that for many different reasons, and they're converting to cordless. Guess what, those professionals today use our cordless drills and our impacts and our [indiscernible] and our accessories in the jobs they currently do. And now we're offering them under 1 battery solution or 2 battery solutions, M12 and M18. The opportunity to stay within the platform, the system. That network effect continues for each and every one of them, and we'll sell more batteries and more tools, and they will be more efficient in their job as the transition to cordless occurs for that professional. So when we say we're just getting started, it's because of this massive opportunity to win every single day with these core trades, which is key to our strategy. Now the specificity of what we deliver, Shane and Tim are going to blow your minds. Because what we deliver with those products is product that delivers safety, products that deliver productivity, everything that they want every single day. So let me give you a perspective that none of our other competitors and the people in the industry understand. I want to take you through this at a 50,000-foot level, about the trades, about the trade organizations, about the training facilities and explain why it's important. Think about this for a second. These end user trades, these are the workers that do the work to build all types of construction, from infrastructure, to buildings, to landscaping, they do that work throughout the globe. You have the trade organizations. Why are they important? These are the people that hire the workers to do the work. In some situations, they buy all of the tools, all of the accessories, all of the hand tools, all of the safety equipment to be able to get it done. And last and just as important is the training facilities. Why is that important? Think about this. The first time you are trained on a product or on a computer or on anything that you do, what do you think of that product? You tend to want to buy that product over and over again as you become a professional in whatever area you're in. That's what we do. Our job site solutions team spends the time at these training facilities, and they teach them. And MILWAUKEE is the brand of choice from the time that user starts in the industry to the time they own a company. This user partnership is a point of difference and something that cannot be replicated by anybody overnight. Now that sounds great. All this sounds great, but let me tell you, clearly our trade partners would not partner with us without the investment that Joe talked about. If we were not investing in the opportunity to be able to drive productivity and safety, they would not care. They would not buy our product, even with our job site solution teams, even with our sales relationships. They wouldn't care. And that viewpoint, that we are going to move from a company that just does me-too product, adding a feature like our competitors to really drive in disruption in product development, it changes the game. Now Shane and Tim are going to take you through examples of that. FORGE batteries, unbelievable of red lithium FORGE, example of what we do with technology. PACKOUT, how we've revolutionized storage throughout America and the world. BOLT safety, what used to be viewed as a commodity, people care about safety, death on the job site, and we've driven in a significant way that dramatic change. Disruption, how we think about product development is essential for our users every single day. Now let me go to a specific example. We're going to talk a lot about specificity of innovation with Tim and Shane. The example of the broad of that user is important. So we talk about the end-user trades. That's that worker. In the union side of that business, you would have the International Brotherhood of Electrical Workers. We work with them every day to be able to make them more productive. You have the unique organization. Who are they and what do they do? NECA is a national electrical contractor Association. Guess what? David Long, the CEO, is a big supporter. Why? Because we help them drive more productivity. We help train them every single day. But most importantly, we do what they want us to do, understand their pain points. Last and not least, and we think is most important is that training piece that I say. So on the electrical training alliance, our job site solutions team in the U.S. and in Canada and in Mexico and in other parts of the globe do the same thing. We go into the training facility. And all you see is red, all MILWAUKEE tools, accessories, hand tools, storage. Why? Because we help write the curriculum on training. We partner with them along that path. All of that top level sounds great. But the key, the absolute key on why we win, not only the first time somebody buys our product or our batteries solutions, the key is the fact that we do something different. We understand their pain points. We send our engineers, our marketing people, our commercial teams. We send our operations people. Everybody in the company is tied to that user and understanding what that user does and determining what those pain points are. And then we leverage to break through technology to be able to change the game. That's how we win every single day. That's why our belief is as much as Joe talks about growth, we are confident that we will continue to change the marketplace, provide more and more examples and win every single day. This is a great example of what we do. This is just for one aspect of the electrical trade. I will tell you that we would fill out this entire wall with nothing but products for that electrical trade every single day. It's imperative that we have every answer for what they need. That's why we're not a tool company, we're a solution provider to our core trades every single day. Why does distribution love us? Distribution love us because we bring that user to them. We create the demand. The innovation that we provide allows that user to come in and partner with them every single day. Now, no question, Home Depot is our biggest partner. And they support a plethora of products in every single area in Mexico, in the U.S. and in Canada, and they focus on all different aspects of those trades that we talked about. But then there's other users who want to buy at certain distribution points that are dedicated to their trade. And we are viewed as the best partner with each and every one of them, not only in the Americas but throughout the globe. That will continue to allow us to win every day. So we have this focus on the user, we have people and culture. We have the ability to disrupt marketplaces, take advantage of all these core trades, the best partnerships in the world and from a distribution viewpoint, how do we keep it going? We keep it going because of what these 2 and their teams do and the rest of the teams and all the funding that Horst and Stephan and Frank and Joe allow us to have, and that is breakthrough technology. We are so far ahead of each and every one of our competitors with AI and machine learning, and Shane is going to give you some examples of that today. The dedication we have throughout the company, we're at the forefront. If you talk about materials, you talk about batteries, talk about charging technology, you're talking about the best component manufacturers in the world that have partnered with us, it's because they understand we move fast, we embrace breakthrough technology. And with them, we want to win every single day. And then in other aspects of our business that Tim will talk about, we talk about materials. And that's for accessories or hand tools or all other aspects of our business to be able to win. All these tied together gives us complete confidence that we are just getting started. And what Shane and Tim will continue to bring you through is the product specificity for those core trades, how we drive that breakthrough technology and that innovation to win every single day. Shane?
Shane Moll: All right. I'm pleased to give you an update on the power tools, equipment and outdoor power equipment businesses. These businesses continue to deliver exceptional performance through the work of our talented people, leveraging breakthrough cordless technology and focusing on innovation to increase the safety and productivity for our core end-user verticals. But this is all bound by our objective to be the dominant leader in professional cordless. And MILWAUKEE is leading today with over 450 unique cordless solutions across our 3 complementary voltage platforms, M12, M18 and MX Fuel. But we know that this is a race without a finish line. MILWAUKEE will continue to focus on dominating the competition and expanding our leadership position with breakthrough cordless technology, and we truly are only beginning. If you look at our foundation, the foundation of our leadership is the introduction of breakthrough technology. Through consistent and bold investments and the work of our talented people, MILWAUKEE has pioneered leading technology throughout the industry from the beginning. From the pioneering of lithium-ion and professional power tools, to the introduction of high-powered brushless motor technology with fuel, to the introduction of what is today, the largest IoT connected platform in the industry with ONE-KEY. And to the introduction of the first tools, leveraging machine learning and artificial intelligence. MILWAUKEE is just beginning and will continue to have a more prolific flow of breakthrough technology into the future. An example of this is our recent introduction of red lithium FORGE battery technology for M18 and MX Fuel. Red Lithium FORGE leverages advanced cell technology and new pack design to deliver the most power, the fastest charging and longest life of any battery technology that we've ever introduced. Now while our competitors often rely on switching battery platforms in order to gain increased capability, abandoning their installed base of users, MILWAUKEE delivers increased capability while being compatible with our existing battery platforms, increasing the stickiness of our cordless systems. This will become more prolific, as more red lithium FORGE battery technologies introduced later this year. Let's talk about our leadership cordless platforms. 12-volt is the leading 12-volt cordless platform in the industry. We have over 150 unique cordless solutions on our platform. We have more solutions than all of our primary competitors combined. But we're just getting started. MILWAUKEE will continue to leverage breakthrough technology and new-to-world solutions to rapidly expand our dominant leadership position in this category. An example is the new-to-world M12 Fuel digital torque wrench with ONE-KEY. This is the industry's first powered torque wrench that leverages our proprietary ONE-KEY IoT technology. Designed specifically for the thriving data center market, this is able to provide up to 50% faster application speed, precision torque accuracy to within 2% for critical torque fastening required on data center projects. In addition to leveraging our cloud functionality of ONE-KEY to provide the owner of that data center a record of that installation. This is a disruptive new-to-world solution that we're leveraging both physical and digital technology to disrupt the market, and this is just the beginning. Let's talk about M18. M18 is a leading 18-volt cordless platform in the industry. With over 280 unique solutions on the platform, we are just getting started. MILWAUKEE will continue to advance into new markets by advancing capability of battery technology, by increasing the intelligence through internally developed machine learning and artificial intelligence and expanding our solutions of core trade-specific solutions for core MEP trades and other core verticals. An example is our internally developed MILWAUKEE artificial intelligence. Leveraging internal dedicated artificial intelligent resources. In addition to our high-power embedded electronics and internally developed machine learning algorithms, we are putting AI functionality into the hands of our users. Already in the hands of millions of users throughout the world, the M18 Fuel half inch drill driver with auto stop greatly enhances productivity on the job site by preventing and predicting over-rotation injuries that commonly occur on job sites throughout the world, an example of MILWAUKEE AI at scale. Another example is what we're doing to disrupt the market in the renewable energy sector. And utility-scale solar projects as seen on this image on the screen. Millions of precise connections are required in one single solar field, millions. MILWAUKEE is leveraging new sensor technology and internally developed machine learning algorithms to provide the most repeatable impact wrench in the industry, with the capability to perform that application up to 3x faster than any solution in the marketplace today. We had the capability to save a contractor on one job, $1 million, with the productivity that MILWAUKEE AI brings. Just another example of how MILWAUKEE is leveraging AI and our internal competency to change the way that work is done on job sites throughout the world. Now let me share with you some examples of solutions we're doing for the core MEP trades. We've talked about data centers. We talked about infrastructure. We talked about mega jobs throughout the world. Metal strut is used by mechanical, electrical and plumbing trades throughout the world. Today, the current cutting techniques leave a sharp edge at the end of the material, which really present a laceration risk to the user. It also has the potential of damaging electrical wire during installation. MILWAUKEE has a solution. MILWAUKEE has developed a strut here that has the capability of providing a burr-free finish, preventing the laceration of the user, in addition to preventing the damaging of electrical wire during installation. And this is not a $199 drill, this is not a $299 drill. This is a $3,500 piece of equipment that is designed to increase safety and productivity for our core trades. Another example. As global electrical infrastructure continues to increase, larger cable sizes are required to deliver more power. And this is happening in job sites throughout the world. So the problem is, what am I going to use to cut this? There are no solutions. Problem solved. MILWAUKEE has introduced the M18 FORCE LOGIC underground cable cutter that provides the largest cutting capacity of any products in the industry. And at a USD 6,500 retail, this is greatly increasing our average selling price. In addition, this is an application that commonly occurs where you could cut through energized cable. When you cut through energized cable, a catastrophic injury would occur to the user. We've solved that by providing an exclusive remote design that enables the user to stand up to 200 feet away from that application, preventing catastrophic injury. Another example how MILWAUKEE will continue to own the end user by creating disruptive trade-specific solutions. Now let's talk about our third leading cordless platform, MX Fuel. MX Fuel is disrupting the industry by converting alternate sources of power in a massive gasoline, pneumatic and diesel markets. Eliminating the common frustrations that occur throughout the job site, including the elimination of on-site emissions. MILWAUKEE has over 23 unique solutions of our cordless platform. We're years ahead of our competitors in wiping out emissions across job sites throughout the world. An example of this is the MX Fuel 14-inch cut-off saw. We're already in our second generation. This is a saw that's used in cutting concrete and large infrastructure jobs, highway projects, airports. But today, there's no cordless solutions that have the power of gas equipment. That has changed. The MX Fuel line of equipment with a new 14-inch cut-off saw provides the capability so you do not have to sacrifice performance, and we're delivering 2x the run time of our first generation. Our competitors haven't even launched their first generation, and we're delivering unmatched performance to solve the problems that are happening with the current equipment on job sites today. If you look at infrastructure, underground construction is a common application, burying electrical wire, burying pipe and then you have to cover it up and you have to compact that material. On job sites throughout the world today, they're using gasoline-powered rammers. The problem is contractors who are in trenches who are in enclosed spaces using a gasoline-powered rammer, getting exposed to dangerous emissions and high noise levels. MILWAUKEE solves that problem with the MX Fuel 70 kg rammer, which delivers the fastest transportation speed in the industry, the ability to get up to 25 minutes of continuous run time on a single charge, up to 0.5 kilometer of compaction on a single battery charge. We are changing the approach in terms of how we're converting this massive multibillion-dollar category, and we're just getting started. Outdoor power equipment. Steve talked about outdoor power equipment and how important it is for our business. The opportunity is massive. This is a $15 billion plus global category that, in our mind, has zero penetration of cordless. That is going to change. MX Fuel is leveraging new technology to be the leader in landscape construction, landscape maintenance and tree care professionals. You're probably asking how are we going to do this? Well, here's the answer. We have millions of M12 and M18 battery packs, the installed base that are already in the market, and we're rapidly converting users into clean running lithium-ion cordless technology. In addition, we continue to develop new solutions to eliminate the need for using gas-powered equipment on the job site. An example is the backpack blower. The backpack blower is almost 100% gasoline-powered equipment. That is going to change. The M18 dual battery backpack blower delivers the performance of gasoline-powered equipment, while eliminating the emissions and solving the problems that are associated with gasoline-powered equipment. We are just in the beginning stages of disrupting this massive $15 billion segment. One of the largest opportunities we have to grow for MILWAUKEE is to increase the access to power to charge battery packs. I want you to imagine being on a job site in a remote area of the country or being in a large infrastructure job and you don't have access to power. How are you going to possibly charge battery packs? You're going to roll out a dirty, noisy generator that's going to skew emissions throughout the job site. MILWAUKEE has the solution. We are introducing a new-to-world, new market entry that solves the solution -- that brings a solution to charge battery packs on the job site. We're introducing the 2.5 kilowatt hour lithium-ion roll-on power supply. This is the world's first mobile low noise and emission free portable energy solution designed for extreme environments. This is a product that's 80 pounds lighter than a gasoline power generator with zero emissions. With the capability to charge 20 battery packs on a single charge and pack out compatible, we're tying into another powerful network effect. And this is just the beginning. You will see that MILWAUKEE will continue to dominate our markets and extend our leadership position with the introduction of breakthrough technology, and we are only getting started. Thank you.
Tim Albrecht: Okay. Hand tools have been around for 3.3 million years. How do you innovate? Luckily for MILWAUKEE, our competition has not spent a lot of time focused on the core trades. So when MILWAUKEE, in 2010, invented a combination wire flyer that replace 3 tools in the user's pouch with one, that was meaningful innovation. We went on to invest in innovation in things like tape measures. And we got a lot of momentum throughout the years converting users into our hand tool systems. That success gave us credibility when you look at categories like storage. And I'm going to talk about PACKOUT. We've talked a little bit about it already today. PACKOUT has been a tremendous success because we've changed the way that users think about how they can move their products around the job site. And then finally, I'm going to talk about one of the newest categories at MILWAUKEE, that's personal protective equipment, a massive category that we've gotten into for similar reasons and introduced another network of product called BOLT, and I'll talk more about that in a second. First, when you think about all the examples that have been given so far, the electrical trade has been brought up time and time again. And that's because they are such a prolific trade on the pro side of the business, but they also are a very voracious user of tools. And hand tools is a perfect example of a product that is penetrated very deeply with the electrician. That's why we spend so much time inventing new hand tools for the electrical trades. Last year alone, we launched over 120 new hand tools for this user, displacing a key competitor from a huge retailer, making room for our solutions that the user is demanding. One of the best examples I can give you is our made in U.S.A. lineman's suppliers. This is a staple of every electrical user across the world. Now why do we do this in the United States? We actually set up a factory in Wisconsin in the United States to make this product. And we did that because U.S. users in the electrical, the power utility, the mechanical, even the transportation trades demand that some of their tools are made in the United States. That's why we set it up. But that's just the ante to the game. We just -- we can't just launch a tool that's made in the United States. We had to improve on it. We had to innovate. To Steve's point, if we're not solving problems, we're not doing our jobs. So we invented a process to laser harden the cutting edges on these tools, to last longer, to cut easier. We use a higher grade of steel in our product that allows us to offer a lifetime warranty on our products. None of our competitors offer a lifetime warranty on these hand tools anymore, because they cannot hit the quality that we hit at MILWAUKEE. Switching gears to storage. PACKOUT is a global phenomenon. We have taken massive market share in this category. We are the largest professional interlocking storage system in the world at over 102 products. But I want to get back to something that Joe said. When you talk about growing the average sales price of a category and why sometimes market share is not exactly relevant at a point in time, PACKOUT is a premium solution based on the quality and the innovation. And let me give you an example. At retail, we have a 3-piece PACKOUT set that sells for USD 300. Right next to us, we have a competitor that sells for $100, lower quality, less features. But guess what? Because of the passion for PACKOUT, we outsell that $100 unit product in units, not in dollars, in units. Essentially saying that we're growing the size of the opportunity. We got 3x of what it is today. That's what the power of our network effect. That's what the power of owning the user does for MILWAUKEE. Now when we started the journey with PACKOUT in 2017, the whole thought behind this was how do we make a user, which we've talked a lot about, you guys can tell we love our users, how do we make that user more effective from the time they leave their garage in the morning, to the time they get on their truck or their van, to the time they get on the job site? How do you make that whole thing easier? And I got to tell you, we were right. The users that we did the research with gave us great feedback, and we launched a product that they were very excited about. In fact, at the end of 2024, we are going to have 45 million pieces of PACKOUT across the world. Think about that network effect. Think about how sticky that is. Every time we launch more PACKOUT, users are buying more and more. But let me tell you about what's really exciting. PACKOUT has transcended just the job site. Every day, we see users post to YouTube, to Facebook, to Instagram. There's dedicated pages talking about how they use PACKOUT outside of the job site. So whether you're on a beautiful beach in Australia, that bottom left picture, or you're fishing off a dock in Florida in the right side, our users have found a way to make PACKOUT their own. Why is this important? Average sell price, way up, highly accretive from a gross margin standpoint and the opportunity to sell PACKOUT is infinite. It's on the job site and it's off the job site, like Steve talked about in the beginning. Last category I want to talk about is personal protective equipment. This is an enormous market, $83 billion globally. Every single one of the core users that we talked about, has to use it. It's not an option. They have to use this product on a job site. But MILWAUKEE did not get into personal protective equipment just because it's a massive market. There's a lot of big markets that we choose not to play in today, for various reasons. We got into personal protective equipment because we saw it was an old, stagnant, boring category, where our competitors had not done a lot to innovate. We came in the last 4 years and have launched 1,200 unique products protected with our intellectual property that have changed the way that users think about how personal protective equipment impacts their lives. I can give you no better example of how we're protecting our users' lives than our new Type 2 safety helmet. A Type 2 safety helmet is an improvement over a 90-year-old technology this old -- Joe, I like the line, the World War II era, because that's when this was invented. The old bucket hard hat that -- the only thing it does is hopefully if something drops directly on the top of your head, and that's protected. But the problem is that falls off your head during a slip trip or fall, right? A Type 2 safety helmet that MILWAUKEE has now launched protects not only from the top, but the sides, the front and the back of your head. You can see the inside, it's more like an American football helmet than anything else. It also has a chin strap on it, so it stays on your head when you have a slip, trip or fall. Novel idea, right? Well, MILWAUKEE offers all of this in a product that we call BOLT, and BOLT is yet another network. Just like Shane's business, M12, M18, MX, PACKOUT. We now have BOLT, where you can connect accessories to our personal protective equipment. The only company in the world that allows users to attach this many accessories to their solution. Now let me tell you something else about a helmet. General contractors are forcing every labor on their job sites to switch to this solution. Because it's saving lives, it's reducing injuries, it's reducing time off the job site for injuries. The other great thing is that helmet, ASP average selling price is $130. The old school, old style hard hat, $25. And remember what I said, general contractors are forcing the change to helmets. That means the 5x ASP is happening right now globally. And this is in Australia, this is in Europe, all across North America. Now we could have stopped there. We have the world's best Type 2 helmet. We could have said, hey, we're very excited about this. But at MILWAUKEE, one of the mantras that we live by when Steve talks about culture and people is never settle, always improving. And what we've done is push ourselves to invent what we call Impact Armor. And what Impact Armor is a non-Newtonian liner, and I had -- they had to explain to me what that was too, but non-Newtonian basically absorbs the impact in this liner versus passing it into the user's brain. And what this does is it saves lives. And we have third-party verification. We have university studies showing that this liner will save somebody in the event of a slip, trip or fall. Here's the really exciting thing about this. Learning from what Shane has done on the cordless arena, this is backward compatible. So every single user that has bought a MILWAUKEE helmet can also buy this Impact Armor liner to upgrade their current product, and it fits every helmet that we launch in the future. Once again, driving up ASP in the market with a highly accretive gross margin item. So with everything that Steve talked about, everything that Shane talked about, everything that I just talked about, you can tell we're a passionate group. You can tell MILWAUKEE has a ton of momentum in the market right now. But I will tell you, the most exciting thing is we're just getting started. I'm going to turn it over to Joe.
Joe Galli: Just summarize and say, I was really excited today to be able to showcase 3 of our most talented superstars, Steve, Tim and Shane. I mean these guys have been in the company for 17 years now. So there's no question of loyalty or retention, and they get better every year, and you could see that on display today. I can tell you this, if you look at our top 100 executives, the top 100 men and women who run this company, you'd be blown away. And Stephan and I are going to be rotating different executives through. You'll see these guys again. But we have so many people who want to show you that I think -- we get a question all the time, what kind of depth do you guys have? And succession planning. And I can -- it's good to put it on display, but I can assure you, our top 100 people are so much better than anything else in the industry. That's why we're so confident when we stand up here and tell you where we're going. So anyhow. With all that, Mr. Chairman, I'd like to turn it back over to you and thank this group for their attention.
Horst Pudwill: Thank you, Joe. I hope you all enjoyed the presentation. I could not be more optimistic about our future. This gentleman over there on the left, first line, you asked about the consumer tools. We don't break it down. MILWAUKEE being our industrial or professional arm, and our consumer tools, RYOBI on left, I just want to tell you, RYOBI is -- today, as we speak, the largest consumer power tool company in the world. Combined RYOBI and MILWAUKEE, are also the largest power tool company in the world. And there is no chance for anybody to catch up. We are so far ahead. And I'm very proud of it. Joe, thank you, team over there. We'll meet some of our RYOBI management in August, our next presentation. And I'm very optimistic about our future. And we have an exceptional team, some of which you have met today. And we have a great portfolio of economic iconic global brands that are second to none. In short, we are extremely well positioned to continue our strong momentum into 2024. That I can assure you. I would like to thank you all for your ongoing support and confidence in our company. And I'm looking forward to seeing all of you in our first half road announcement in August this year. Thank you very much for attending.
End of Q&A: